Operator: Hello, everyone, and welcome to Siltronic's Conference Call on its Full Year 2022 Results. Please note that this call is being recorded and streamed on Siltronic's website. The call will be available as an on-demand version later today. Your participation on this call implies your consent with this. At this time, I would like to turn the conference over to Verena Stutze, Head of Investor Relations and Communications of Siltronic AG. Please go ahead, ma'am.
Verena Stutze: Thank you, operator. Welcome, everybody to our full year 2022 results presentation. This call is also being broadcast live over the Internet on siltronic.com. A replay of the call will be available on our website shortly after the conclusion of this call. Joining me on today's call are our CEO, Dr. Christoph von Plotho; and our CFO, Rainer Irle. Following our usual procedure, Chris will start with some general remarks, and Rainer will provide some more detail of our key financials, followed by Chris again, updating you on our guidance and current market developments. After the introduction, we will be happy to take your questions. Please note that management's comments during this call will include forward-looking statements, which involve risks and uncertainties. For a discussion of risk factors, I encourage you to review the safe harbor statement contained on today's press release and presentation and in our annual report. All documents relating to our full year 2022 reporting are available on our website. I now turn the call over to Chris.
Christoph von Plotho: Thank you, Verena. Welcome, everyone, and thank you for joining us for our full year results call. I hope that all of you and your families are healthy and safe. I will present some highlights of the full financial year before Rainer will guide you through our KPI development in more detail. Siltronic had an exceptional year in 2022 with record-breaking sales and EBITDA. The company sales increased due to high demand, resulting in higher prices and the development of the U.S. dollar had a positive impact as well. Furthermore, we had a slight improvement in our production output. In addition, we received EUR50 million onetime termination fee that further contributed to the favorable results. Despite the excellent results, we were facing strong headwinds from higher costs for energy, raw materials, and supplies, as well as higher depreciation. The investment projects in Singapore and Freiberg continued to proceed well. Fab Next in Singapore is on schedule and within the budget and we owe a great deal of residue to our team in Singapore who are doing an excellent job. In Freiberg, the first crystal will be pulled within this month. Compared to the year 2021, our sales were up 28% to EUR1.805 billion. Overall, ASP in 2022 was significantly up year-on-year. The FX tailwind further improved this structure. Our EBITDA came in at EUR672 million. EBIT was up 56% to EUR496 million. The EBITDA margin also increased from 33% to 37%. CapEx of EUR174 million was significantly higher year-over-year. The investments were mostly related to the construction of our new fab in Singapore and the extension of crystal pulling in Frieberg as well as additional EPI capacity and like always, some capability improvements. Due to the high CapEx, our net cash flow was negative as expected and came in at minus EUR395 million. Our net financial assets were EUR374 million at the year-end. Silicon wafers are the basis for almost all electronic applications. Demand growth for wafers is driven by the growing use of semiconductor in all types of electronic applications. Ongoing growth of the worldwide electronics market will continue to drive demand for our wafers in the mid and long term. Semiconductor demand grows due to new applications like digitalization, as well as unit and content growth in existing applications. In the year 2021, we started our major expansion projects Fab Next in Singapore. We are delighted about the construction progress and are on schedule to deliver the first 300-millimeter wafers in early 2024. Fab Next is the state-of-the-art plant and will be the largest and most cost-efficient Siltronic fab. It is highly automated and has a high share of epitaxy, the ramp phase will take several years. On the financial side, this means that the group EBITDA margin will improve, and this will already be the case in the year 2024. The EBITDA margin for Feb Next will be about 50%. 80% of the fabs output during the ramp phase is secured with long-term agreements. Overall, I'm convinced Fab Next will be a game changer for Siltronic. For now, I will hand over to Rainer for some...
Rainer Irle: Yes. Thank you, Chris, and welcome, everybody. Before we go into the details of our financials, I would like to talk about another important topic. Last year, Siltronic decided to kick-off a new climate action program and committed to the science-based targets initiative. Basically, we want to cut our CO2 emissions in half by end of this decade with a long-term goal to become net zero until 2024 -- 2045. These are ambitious goals for an energy-intensive company like Siltronic. In 2022, we actually demonstrated what we are making excellent progress. Despite a slight increase in production volume, we were able to achieve a reduction of more than 10% in Scope 1 and 2 emissions. But now let's move on to the financials. Sales in Q4 continued to be strong. Prices were stable quarter-on-quarter. Overall, sales reached EUR472 million and were in line with Q3. ASP in Europe was significantly up year-over-year. In 2022, COGS went up due to price increases for energy, raw materials, and supplies, also due to exchange rate effects, labor costs and a EUR45 million higher depreciation. Wafer area sold increased slightly. In Q4, COGS came in at [EUR302] (ph) million, EUR8 million lower than Q3. Our gross profit rose to EUR171 million in Q4. Gross margin went up to 36%. Siltronic's U.S. dollar exposure further increased in 2022 to roughly 80% of sales. The strong U.S. dollar improved sales and gross margin. However, the downside is included in other currency effects. Siltronic recorded negative currency effect throughout the year and particularly in Q4. The Q4 result is driven by translation effects, particularly in receivables and also due to hedging. We always see this kind of strong negative numbers when the dollar is strong, but the trend is turning. Other currency effects accounted for an expense of EUR21 million in 2022, after an income of EUR9.5 million in 2021. In 2022, we had an average FX of 1.05. Assuming 1.10 in 2023, we would see EUR65 million less sales. We will also see EUR45 million less gross margin, but then on the positive side, we would see some EUR40 million higher operating income from hedging. And why EUR40 million? Because in 2022, we had a negative result of EUR21 million and in 2023 we will then turn positive, and we would have a positive result at 1.10. EBITDA in Q4 came in at EUR168 million and was in line with Q3. EBITDA margin was 36% in both quarters. EBIT in Q4 reached EUR125 million with an EBIT margin of 26% in both Q3 and Q4. For the full year 2022, the higher ASP and the favorable FX impact more than overcompensated the negative burden from increasing costs for energy, raw materials and supplies. As a result of the unsuccessful tender offered by global wafer, Siltronic received a onetime termination fee of EUR50 million in Q1. This further boosted our EBITDA and EBIT in 2022. Net profit further increased quarter-on-quarter and was EUR190 million in Q4. EPS came in at EUR3.56. In 2022, net profit was EUR434 million. Thus, EPS were EUR13 compared to EUR8.4 in 2021 We will propose a dividend of EUR3 per share to the AGM in May. Working capital decreased in 2022 year-over-year with EUR178 million at year-end. This was mainly driven by an increase in trade liabilities due to the high CapEx in Q4. Customer prepayments, just as a side note, are not included in working capital. Now looking at our balance sheet. Equity rose to a spectacular EUR2.067 billion at the end of December. Equity ratio was 51%. The increase is mainly related to the strong profit minus the dividend payment last year, as well as a decrease in pension obligations due to higher interest rates. The IFRS interest rate for pension provisions in Germany increased to 3.72% at year-end 2022 versus 1.23% as of December 21. In the U.S., the interest rate increased from 2.51% to 4.9%. This resulted in our pension provision stabilizing at a now much lower level than in previous years at only EUR120 million. Net financial assets were still positive at EUR374 million despite high CapEx and EUR90 million dividend payment. This was mostly due to the excellent cash flow from operating activities and customer prepayments and obviously, also that we drew EUR675 million financial debt. And in total, the liquidity increased to about EUR1 billion. Operating cash flow in Q4 was EUR190 million. Due to high CapEx, net cash flow in Q4 was negative at minus EUR245 million as expected. Net prepayments for customer LTAs amounted to EUR98 million in Q4. In total, we received EUR311 million of fresh prepayments in 2022. We expect more prepayments in 2023 and 2024. However, in 2022 and 2023 prepayment inflows and returns will be in the same order of magnitude. For 2023, the CapEx is expected to be slightly above 22%. Most of this amount will be spent for Fab Next in Singapore. In 2024, this amount should be roughly half. Siltronic last year successfully issued the ESG-linked promissory loan note over EUR300 million at pretty favorable conditions with terms in five, seven and 10 years. That was in Q2. The interest rate of this loan is also linked to the Sustainalytics management score for Siltronic. Secondly, we secured a long-term loan in Singapore dollar with further drawdowns in 2023. We also secured by letter EUR200 million loan from the European Investment Bank amortizing over 10 years. The loan will finance research and development in Germany as well as production capability for innovative products in our German factories. In preparation for the next expansion stage of Fab Next in Singapore, a term loan in combination with the revolver in the amount of EUR300 million will be arranged in 2023. This amount, though, is intended to serve as a liquidity reserve and will be drawn if at all, in 2024. And we do not plan a capital increase in 2023. And with that, I would like to hand over to Chris.
Christoph von Plotho: Well, thank you, Ryan. In 2022, the demand for silicon wafers increased by 3.9% overall. Specifically, for 300-millimeter wafers, the growth rate was approximately 6%, which aligns with Siltronic growth assumption for this market segment in the mid to long term. This slide provides a growth overview of different applications. Silicon wafer demand for smartphone is expected to soften year-over-year, but should improve sequentially, especially 5G will drive further content growth. Automotive is expected to grow with an increasing digitalization content. This is due to the growing share of electric vehicles, wider use of ADAS systems and more semiconductor content for infotainment systems. The market for PC is expected to be softer with a decreasing number of units sold. While server units are expected to remain stable, we expect that artificial intelligence and machine learning applications will drive increased server content. This trend reflects the growing demand for high-performance computing solutions to support advanced data analytics and other data-intensive workloads. Consumer electronics are considered to be softer, while infrastructure for 5G is stable. Overall, the mix picture for 2023 with the expected softer PC and smartphone market weighing over the growth rates of the industry. We see significantly increased inventories through our customers' supply chain, which will weigh over wafer demand in 2023. We expect a weaker market for some quarters. Some customers asked us to postpone delivery volumes from H1 2023 into later periods. As a result, we expect sales in Q1 2023 to be down around 15% quarter-on-quarter and 5% down year-over-year. The EBITDA margin should come in between 30% and 33%. And this leads to our outlook for the year 2023, geopolitical challenges and the consequences of inventory corrections in the supply chain make it particularly difficult to issue our forecast for the whole year 2023. Inventory burn will take some quarters and the million-dollar question is how long it will take? We currently expect sales and EBITDA margin to be significantly below prior year. Depreciation should be around EUR220 million, and EBIT should decrease significantly. The tax rate is expected in the mid-single-digit percentage range. OECD minimum tax will probably not affect us in the year 2023 and also not in 2024. CapEx is expected to be slightly above prior year, and therefore, the net cash flow will be significantly negative and below prior year. We remain convinced that the underlying medium and long-term growth trends in the industry are still intact. This is due to the diverse end applications. Megatrends such as 5G, artificial intelligence, electromobility and digitalization continue to be growth drivers for the semiconductor industry. In anticipation of increasing demand in the medium and long term, our customers also have announced extensive expansion plans in the coming years. So now please allow me a few words about myself. As you may have read in the press release on Tuesday, today's webcast will be my last one for Siltronic. Vical Hikma will take over the position as CEO of Siltronic after the Annual General Meeting on May 6, and I will retire in a planned manner. Since the IPO in the year 2015, I have had the pleasure of getting to know a whole group of stakeholders, including analysts and investors. Over the years, I have had hundreds of meetings with all of you and have enjoyed each one. With Michael Heckmeier, Siltronic is getting an experienced and competent CEO, who will lead the company safely and successfully into the future. For me personally, it has been an honor and a privilege I have served as CEO for this great company. I'm proud of what we have achieved together and how we have developed over the past years. I would like to thank all of you for the excellent collaboration and cooperation and valuable feedback that you have given us. It is always -- it has always been a pleasure and an honor to speak with you and present our successes and progress. As a shareholder, I will continue to keep an eye on Siltronic, and I'm convinced that the company will be successful in the future. Thank you again for your support, and I wish all of you the best for the future. With this, we close our presentation and are now available for your questions. Operator, please open the Q&A session.
Operator: Ladies and gentlemen, at this time we will begin the question-and-answer session, [Operator Instructions]. One moment for the first question, please. We have the first question from Francois Bouvignies from UBS.
Francois Bouvignies: Hi. Thank you very much. Maybe Chris, a few words. I mean our conversation will be missed. And I sincerely wish you all the best for the future. And yes, it was a nice conversation we had, and it will be missed definitely. So I have a few questions on my side. Maybe I understand the uncertainty in the market is clear, and that's why you don't guide the 2023 precisely. And I'm not going to ask you to give more color on the quantification side. But maybe what's your view on the inventory level today? Because when we look at the memory players, I mean, it seems that they built up a significant amount of inventory in the last year, and we don't see much recovery at this stage. So how should we think about the correction of this inventory cycle compared to the past? I mean, do you think it could be -- take longer than a couple of quarters in light of the current outlook? That's would be interesting to have your view on that. That would be my first question.
Christoph von Plotho: Well, Francois, thank you very much for your question, and thank you very much for your kind words at the beginning of your questions. Yes, you are perfectly right. The inventory level in memory is the biggest question mark that we have. And I think it's not only that Siltronic has it. It's also true for our competitors and probably also for the memory players in the market. I do remember five years ago, 10 years ago, the memory market was completely different from today. Years ago, it was a price-sensitive product. So with lower prices, people like Samsung, Micron and others could create additional demand. You remember very well that smartphones were available with four and 16 gigabytes, and you only needed to make 16 gigabytes cheap enough in order to make sure that nobody buys a four gigabyte. Today, all the final products, which are sold to the market have by far sufficient memory capacity. So what was true in the past that with pricing, you can create additional demand, I think, does not hold true anymore today. Whether the actions which were taken by the memory players, whether it's in Japan, in North America or in Korea, I think nobody said that this will be enough cut by 20%, like Samsung announced. And basically, they didn't even say for what period of time they will do it. Therefore, there is this uncertainty. And I think it will be relatively similar to what it was in the past, inventory correction is -- yes, I think it's a fair assumption that we talk about two quarters, maybe it's three quarters, but I cannot imagine that it will be more than three.
Francois Bouvignies: Okay. So you don't think it's going to be maybe deeper or longer than previous recent cycles, in other words, if I summarize. So the second question is, in this kind of environment when you see, of course, memory but also some kind of weakness at the logic side for some specific application, mainly consumer. How is the pricing evolving? I mean on the quarter early contracts, I mean, do you see any pressure there? Or is it still resilient? I know you still have your long-term contract that's a significant part of your revenues, but how is the quarterly contract pricing evolving would be great in this environment?
Christoph von Plotho: Let me first make a statement regarding the LTAs. So LTA is not that different from what it was in prior years. It's around 65% of total. And of course, with a higher share on 300-millimeter compared to the 65% or compared to 200 and smaller diameters. And our strategy in LTAs is still the same and did not change and will not change in the future. We always said we will not force customers to take quantities that they don't need. So we are willing to talk about pushing out quantities, but we are not willing to talk about pricing of LTAs, and we are not willing to talk about reducing the overall quantity of the contract. So something is not taken in H1. It has to be taken later, maybe H2, maybe also at the end of the LTA. So on quarterly contracts or shorter-term contracts, yes, there is some -- there is, of course, the expectation from customers that they might get it cheaper because there's less demand. But at the end of the day, up to now, everything we negotiated, I think the worst that we had was flattish development. So we said regarding price development for the current year, moderate increase. And I think this still holds true from today's point of view.
Francois Bouvignies: Thank you Chris. And one last one maybe is for Rainer. You mentioned in the release, no capital raise in 2023, which is helpful. I mean how should we think about the possibility in 2024? Is it -- should I read that not in 2023, but maybe later? Or you just don't want to have cutaways at all in the scenarios in the next couple of years?
Rainer Irle: Yes, Francois. Thank you for the question. I mean, I think you understand why I can't tell you that we will never do a capital increase. So I mean, so far, we say not in 2023. But I think I also told you that we are raising some additional debt. I mean, including a revolver that should give us really all the liquidity that we need and much more so that we can maintain a few hundred millions of liquidity, and we are definitely certain that we go through this, whatever short-term softer demand period is so we should be absolutely fine with what we have now.
Francois Bouvignies: Thank you. I’ll leave there.
Operator: The next question comes from Amit Harchandani from Citi. Please go ahead. Mr. Harchandani, we cannot hear you. Maybe unmute your phone. We still cannot hear you. Well, perhaps try to register again for questions. Then we'll go to the next question, which comes from Adam Angelo from Bank of America. Please go ahead.
Adam Angelov: Yes. Can you hear me okay?
Christoph von Plotho: Perfect.
Rainer Irle: Yes, we can hear you very well, Adam.
Adam Angelov: Okay. Great. No issues on my side. Thankfully. Yes, Christophe, just wanted to echo the comments of Francois and I wish you all the best for the future. It's been great interacting with you. So I'll go one by one. Firstly, on your comments for CapEx into 2023. I wanted to check the CapEx guidance of 2023, slightly above 2022. I'm assuming that refers to the CapEx you talked about, which is not quite cash flow CapEx. So the question is really, is there some cash catch-up also from 2022 that comes into 2023 and the difference between kind of the CapEx you talk about versus the actual cash flow CapEx? That's the first question.
Christoph von Plotho: Yes. I mean, Adam, there's always kind of a spillover effect. I mean you buy everything, let's say, net 45 when it comes to equipment. So I mean, you pay 45 days after you got it. And also what you typically do at year-end, you go around and you look if there's outstanding invoices, I mean like something that was already delivered, but you don't yet have the invoice. And that's what we did and a lot was in Q4. So there was a spillover effect from last year into this year. And this year, we have a similar effect, obviously, from end of this year into next year. So it's just, I mean, ordinary cost of business.
Adam Angelov: Okay. I see. So the same effects from 2022 into 2023 would be also there for 2023 to 2024, okay. That makes sense. One other thing I wanted to check, so the -- I'm not sure if I misunderstood, but the commentary about the Fab Next ramp into -- I think it was partially the LTA secured until 2030. I saw previously you talked about 2028. So I just wanted to double check that. I mean, is it now that you're expecting a slower ramp? Or have I misunderstood?
Christoph von Plotho: Well, I think the first portion of the rent, what we call Phase 1 is something that basically we can't change anymore, and we don't want to change. I'm still convinced that it will be a perfect fit or close to perfect fit with increasing market demand. We all know that after every downturn, we have an upturn. And I think it might be a perfect fit between the upturn coming later this year, latest in the first quarter of 2024. And then we also start our production first wafers sent to customers. I think this still looks like a perfect fit. You are right, LTA, it's not only on LTA, the LTAs, which were signed with the link to Fab Next capacities were much more longer than the typical LTAs that we signed before. Before we had LTAs with the maximum, I think, of five years, somewhere only three years. And the Fab Next related LTAs are all five years or longer, one even running into 2030.
Adam Angelov: Okay. Got it. And then last one for me. Just curious if from some of your customers, they're trying to -- and you sort of answered it earlier, but they're trying to renegotiate some of those -- the pricing on those LTAs into basically 2024, given the weak demand we're seeing today and then, okay, maybe it recovers by 2024. But obviously, there's a lot of new fabs coming online in 2024. So just wondering if customers are trying to renegotiate any of your kind of contracts there and how you see sort of 2024 developing with the balance of probably recovering demand versus new capacity coming online?
Christoph von Plotho: Adam, good question. I think I answered it already partially before. We do not change our strategy on LTAs. I think the strategy on LTAs possible renegotiation is well understood by customers. I do not know of any approach from customers regarding renegotiating pricing on LTAs. I think they understand why this is not acceptable.
Adam Angelov: Okay. Got it. Thanks very much.
Christoph von Plotho: Welcome.
Operator: The next question comes from Martin Jungfleisch from BNP. Please go ahead, sir.
Martin Jungfleisch: Hi. Good morning. Thank you. I have two questions, please. The first one is on the CapEx plans for Feb Next. Assuming that the demand environment would deteriorate further, would you consider pushing out the ramp-up of the fab in Singapore, would you still move on with the current plans, even if, let's say, volumes will be down 20% this year? And then also if you can comment on the phasing of the CapEx this year, is mainly H2 loaded or even distributed? That's the first question.
Christoph von Plotho: I think CapEx is typically H2 loaded. This time, it might be not as much as H2 loaded because most, we have a huge number of equipment, which will be brought into the clean room in April. So I think this year will be an untypical year for the distribution of the investment. Pushing out, as I said before, on Phase 1, we will not change, but we might adjust the ramp phase of the second phase. This is still possible, and this will be decided into a later period when we have a little bit more clarity about demand, how demand will develop. On the other hand, we also have to take into account all the investments, which were initiated or partially even already completed by our customers. And I think they have a relatively good view on the market. We have digitalization moving forward. So for me, it's only a question of time by when we will see a significant upturn. And I guarantee you, it will be like always, it will be suddenly that the customer calls, by the way, I need more wafers by yesterday. This will happen sometimes in the future. It was always the case like that. And this time, it won't be different.
Martin Jungfleisch: Thank you. And then the second question, just to clarify, I mean you expect sales in Q1 to be down 15% compared to Q4. Is that based on a euro-USD of 1.10? Or is that just applying for the full year?
Christoph von Plotho: You're right... 1.10.
Martin Jungfleisch: Okay. Great. Thank you and all the best, Chris.
Operator: The next question comes from Fabian Pitan from Jefferies. Your question please.
Fabian Pitan: Thank. Good morning. Can you hear me well?
Christoph von Plotho: Yes, we do.
Fabian Pitan: Awesome. First question is regarding the outlook. You're saying significantly below prior year. Could you give us a little range what you consider significant both in terms of sales and margin guidance?
Christoph von Plotho: 5% is not significant. And I would argue that 30% is much more than significant, but more precise, you won't get a figure for me. And this is not because we don't want. This is because the uncertainty like we explained before.
Fabian Pitan: That is understood. Thank you. My second question would be, given the solid outlook on solar in Europe and the rebuilding of supply chain, would you consider restarting your solar wafer business under scenario of government subsidies?
Christoph von Plotho: Do you want a short or longer answer?
Fabian Pitan: Longer answer would be nice, but up to you of course.
Christoph von Plotho: Well, the short one is no, we would not. We and Siltronic are a very experienced and very successful company in for semiconductor wafers and semiconductor wafers -- the whole process in production and also the specifications are driven by performance. Performance drives our customers, and we are driven by the performance requests of our customers. The solar business is all about cost. When you look at the semiconductor, what is the share for a semiconductor company that they spend for a wafer? It's around 2.3%. When you look at the solar module, the share of the wafer price is around 50%. So it's a completely different market, which is driven by completely different conditions. And today, I think it's 97% of the solar wafers are coming out of China. And China or the Chinese producers made an excellent job to create really this high-volume manufacturing in China. But on the other side, it's also very much financially supported by the Chinese government, not to say about electricity prices. And regarding Europe and the future industry in Europe, my saying, my thinking, did not change at all, regardless what happens with the solar industry. We need competitive electricity prices. And this is something we don't have today. And if people complain about the actual level of electricity but stay right. But even before the crisis, let's say, 2019, the European prices were not competitive. And specifically in Germany, they were not competitive. So I do not believe that you can simply turn back the clock and bring back the solar industry into Europe. I think it's not possible.
Fabian Pitan: Thank you very much. I have to go back to the queue.
Operator: The next question comes from Jurgen Wagner from Stifel. Your question please.
Jurgen Wagner : Yeah. Good morning. Thank you. I have a follow-up question on Slide 5, you mentioned that your EBITDA margin for mixed will be above 50% you stated you have a higher API share, but what is the ASP assumption behind that EBITDA margin? And yes, [indiscernible] Thank you.
Christoph von Plotho: Well, thank you very much for your kind time words. I can tell you what the ASP assumption is. The ASP assumption is what we fixed in the LTAs.
Jurgen Wagner : Okay.
Christoph von Plotho: But we do not disclose pricing from LTAs.
Jurgen Wagner : Okay. Thank you
Christoph von Plotho: You are welcome.
Operator: Next question is from Robert Sanders from Deutsche Bank. Please go ahead.
Robert Sanders : Yes, Hi. Just to echo everyone's comments, Chris, we'll miss you guys. We'll miss you in these calls and best wishes for the future. I guess my first question would just be around your loading by diameter. Could you just give us some more color how you're thinking loading will develop in the year? And I have a few follow-ups. Thanks.
Christoph von Plotho: For more than two years, we suffered from [MAX] (ph) output. MAX output is nice for the revenue. But for, let's say, running production is not the perfect setup. I always said that somewhere between 95% and 98% loading ideal from a production point of view. But I also said this is something that never happens. It only happens for a short period of time when you go from 90% to 100% or already were back from 100% to 90% or whatever. So today, we already mentioned in the later part of last year, the demand for [indiscernible] was slightly decreasing. So there, we have the biggest negative impact in loading 200 and 300 millimeter have still a high load, but it's not fully loaded. And if you're looking for a percentage figure, I'm sorry you won't get it.
Robert Sanders : Fair enough. I have to try, Chris. And then on the…
Christoph von Plotho: Sure.
Robert Sanders : [indiscernible] listening to this call. I guess on their presentation, they talked about on-hand inventory, particularly illogic actually being higher than the prior peaks, whereas memory was kind of in line in terms of weeks in inventory. Is that -- would you agree with that sort of assessment? Is that where we are? Or do you think we are potentially worse given LTAs, et cetera?
Christoph von Plotho: Well we also had the question about finished good inventory in our supervisory board two days ago. And my answer was we are in a good situation. We have very little space in Germany or in Singapore to store finished goods. So basically, we are limited by space of the warehouse. So the finished goods inventories are completely in line, and there is no significant difference between memory on one side and Pathologic application on the other side.
Robert Sanders : [indiscernible] customer inventory?
Christoph von Plotho: Customer inventory. Customer inventory, we always said we have a view on two memory players. They are slightly up, but not that significant. We know some single data points for logic and there the inventory level is significantly higher.
Robert Sanders : Okay. Just last question would be if the quarterly pricing is flattish and the contractually agreed pricing is going up by 10% per year. Surely, that means there'll be a bigger and bigger divergence between effectively spot pricing and contract pricing. So does that not mean that some companies will choose to move into the quarterly area? Or do you think because they're under contract, there's no real option for them to do that. I mean, obviously, they could tell you that they have too much inventory and take and sort of undertake from the higher-priced LDAs while getting from another vendor in the spot market.
Christoph von Plotho: I think the value for our customers, having an LTA is to have secured supply for a longer period and our outlook, whatever the market development does. So over the last five years, we had significant periods where customers had difficulties to get what they want. And I think, therefore, from the point of view of our customers, the value of an LTA increased significantly. So I do not anybody. Let's assume there is an LTA which is running out. I do not expect any customer to ask us, "Well, okay, we don't own LTA anymore. We do it quarterly."
Robert Sanders : Got it, Chris. Thanks a lot.
Operator: [Operator Instructions]. It seems to be no further questions at the moment, and I hand back to Verena for closing comments.
Verena Stutze : Thank you for joining us today. We hope you will join us again on our Q1 release on May 11, 2023. Goodbye.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you very much for joining, and have a pleasant day. Goodbye.